Operator: Greetings, and welcome to FreightCar America's Third Quarter Fiscal 2022 Conference Call. [Operator Instructions] It is now my pleasure to introduce your host, Stephen Poe, Investor Relations. Thank you. You may begin.
Stephen Poe: Thank you, and welcome. Joining me today are Jim Meyer, President and Chief Executive Officer; Mike Riordan, Chief Financial Officer; and Matt Tonn, Chief Commercial Officer. I'd like to remind everyone that statements made during this conference call relating to the company's expected future performance, future business prospects or future events or plans may include forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Participants are directed to FreightCar America's Form 10-K for a description of certain business risks, some of which may be outside of the control of the company that may cause actual results to materially differ from those expressed in the forward-looking statements. We expressly disclaim any duty to provide updates to our forward-looking statements, whether as a result of new information, future events or otherwise. During today's call, there will also be a discussion of some items that do not conform to U.S. generally accepted accounting principles or GAAP. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the earnings release issued yesterday afternoon. Our earnings release for the third quarter of 2022 is posted on the company's website at freightcaramerica.com along with our 10-Q, which was filed yesterday after market. With that, let me now turn the call over to Jim for a few opening remarks.
Jim Meyer: Thank you, Stephen. Good morning, and thank you all for joining us today. Before I discuss the quarter, I would like to begin by thanking our FreightCar America employees for their continued dedication and hard work as we continue to scale our company and execute on our strategic priorities. I'm incredibly proud of this team as we continue to work to build a world-class manufacturing campus in Castaños. The power and potential of our new campus was evident once again this quarter as we produced another record number of railcars. Our transformation is on pace, and we are continuing to invest to prudently expand our capabilities as we produce more and more railcars at the highest levels of quality and on-time performance. I'll talk more about the transformation in a few minutes. Now let me provide an overview of our third quarter results. As you saw in yesterday's earnings release, FreightCar America delivered 47% top line growth and 783 cars in the third quarter, an increase of 55% year-over-year, which again set a new high watermark for deliveries out of our new facility. Manufacturing operating income grew to $3.1 million from $163,000 a year ago, and we achieved adjusted EBITDA of $1.6 million compared to a loss of $3.5 million during the same period a year ago. That said, our third-quarter financial results were muted by deliveries of lower-margin railcar orders that were accepted earlier in the year and at the bottom of the cycle as well as elevated freight cost. These items put downward pressure on our profitability and made a debt to our gross margin, which had been double digits during the prior two quarters. We expect these legacy orders to be completed before year-end and for our margin profile to strengthen beginning in the fourth quarter. In addition, we are actively exploring alternative freight strategies with a goal to reduce these costs. Overall, the railcar environment is more positive than not. The more positive aspect comes from both what we are seeing in terms of industry fundamentals and sales inquiries and the not aspect is our caution as it relates to overall macroeconomic uncertainties, including high inflation and persistent supply chain challenges. Unlike so many other companies, we are not experiencing issues related to hiring and retaining skilled workers. Our sales team remains intently focused on winning business that is good for the company and accretive to margins. As I've highlighted on previous calls, our cost structure and size provides us with some flexibility in how we select and schedule business. As we build railcars and run the overall business, we also continue to make significant and very important progress on the company's strategic and performance initiatives in Castaños. And we firmly believe that we are successfully positioning ourselves as a world-class manufacturer in Northern Mexico with increasing benefits to come. Construction of our new fabrication shop is now complete, and we started bringing it online during the third quarter. We also completed the expansion of our wheel and Axle shop and now have AAR certification that allows us to machine axles in-house. As we have alluded to in previous calls, both of these additions will bring meaningful efficiencies in addition to the benefits from further scaling and producing more units. Additionally, as I mentioned in my opening remarks, we continue to be impressed by the volume of railcars that our new footprint can produce and deliver, which is on pace for substantial growth over last year. In the first nine months, we delivered 2,034 railcars more than in all of 2021. As a reminder, for the full year 2022, we are forecasting revenue to be between $340 million and $360 million, up approximately 72% year-over-year at the midpoint of the range. We are also projecting deliveries to be between 3,000 and 3,200 railcars, an increase of approximately 79% year-over-year at the midpoint of the range. In summary, while there is much more work to be done to achieve our full potential as we envision it, we believe that FreightCar America is poised to continue delivering growth and improved profitability as we continue to scale our new facility and also as the macroeconomic environment and supply chains normalize. With that, I would like to now turn the call over to Matt for a few commercial comments related to the third quarter and moving forward. Matt?
Matt Tonn: Thank you, Jim, and good morning, everyone. On the commercial front, we continue to see mostly positive signs in the rail marketplace that support demand for new railcars. Industry orders for the third quarter are in line with the replacement demand cycle of 40,000 railcars annually, which is consistent with the feedback from our customers on their specific needs. Largely speaking, our leasing customers are reporting strong utilization of their lease fleets with improving rates on lease renewals. Additionally, there are multiple car types that remain in tight supply, supporting our healthy inquiry activity during the quarter. After a slight increase in railcar storage figures in the second quarter, we have again seen total cars stored fall in the last quarter with just over 275,000 railcars or 17% of the North American fleet reported in long-term storage. This is almost a 48% drop in total rail assets stored since the peak in July of 2020. Another important indicator is scrap prices. Despite a fall in scrap prices since their peak in March of 2022, railcar scrapping has outpaced railcar deliveries for nearly three years. With many car types near end of life and the cost of repair is often greater than asset book value, this scrapping activity will continue to support replacement railcar demand. Our inquiry activity and more specifically, formal bids issued, saw a double-digit increase quarter-over-quarter and include a wide range of car types as customers remain focused on replacing their aging fleets. Our sales funnel includes a diverse mix of new and existing customers whose needs for railcars are well-matched to FreightCar America's product portfolio. We continue to see inquiry and order activity for conversions. With over 16,000 railcar conversions delivered in our history, FreightCar America offers dozens of design options for customers looking to repurpose idle and underutilized railcar assets. Our company's focus on sustainability and engineered lighter-weight car designs has been a cornerstone of our brand for over three decades. As an example, our typical conversion design will reuse or repurpose over 50% of the existing railcar structure and components with all other materials recycled, minimizing the environmental impacts of producing raw materials necessary in the construction of an all-new railcar. Turning to order activity. We booked orders for 340 railcars during the quarter. For the first nine months of the year, total booked orders and backlog each increased over 30% year-over-year. with a backlog total at 2,529 railcars with an aggregate value of approximately $276 million at quarter end. As we have stated previously, we remain disciplined in our approach to pricing and acceptance of orders that are well aligned with our profitability guidelines. Like all industries, we are cognizant of how potential market downturns and interest rate hikes can impact our business. Despite these macroeconomic uncertainties, shipment by rail remains a strong value proposition with accepted economic and environmental benefits. With that, I'll now turn the call over to Mike for a review of our financials. Mike?
Mike Riordan: Thanks, Matt, and good morning, everyone. As Jim alluded to in his opening remarks, we delivered significant top line growth year-over-year. Our profitability was impacted in the quarter, however, by both lower margin business and elevated freight costs on income in material within the period. We anticipate that these lower margin orders will be complete before year-end, positioning us for sequential profitability improvement. Further, we have a number of projects underway to improve our inbound freight cost component. While freight was a relatively small contributor to the downward pressure in the quarter and may be an important opportunity in the future. Consolidated revenues for the third quarter 2022 totaled $85.7 million compared to $58.3 million in the third quarter of 2021, an increase of 47.1% year-over-year. The company's deliveries increased 55% to 783 railcars, up from 505 railcars a year ago. Our gross profit in the third quarter of 2022 was $4.6 million, a significant increase compared to $1.5 million in the same period the prior year. Gross margin was 5.3% compared to 2.6% last year. Sequentially, gross margin decreased from 11.6% in the second quarter of 2022, primarily due to the lower-margin legacy orders. SG&A for the third quarter of 2022 totaled $7.1 million, up from $5.7 million in the third quarter of 2021. The increase in SG&A was largely noncash related to the mark-to-market accounting for stock-based compensation awards this value increased in tandem with the company's share price during the quarter. As a reminder, we are committed to maintaining our current low-cost SG&A structure while we scale our production and add manufacturing capacities. As a result, we expect our adjusted EBITDA to directly benefit from the operational leverage of the expanded footprint. Going forward, we expect SG&A, excluding mark-to-market accounting for certain stock-based compensation awards to remain relatively consistent as we continue to grow revenue in the future. Manufacturing operating income for the third quarter of 2022 was $3.1 million compared to manufacturing operating income of $163,000 in the third quarter of 2021. Consolidated operating loss for the third quarter of 2022 was $10.7 million compared to an operating loss of $4.2 million in the third quarter of 2021. Consolidated operating loss in the third quarter of 2022 was primarily driven by a noncash loss on pension settlement of $8.1 million. This loss reflects the movement of historical actuarial losses out of accumulated other comprehensive income and into the P&L. Based on favorable market conditions, we were able to offload approximately $27.6 million or 67% of our gross pension liability at no cost to the company. This action is both significant and further strengthens the company's balance sheet by mitigating its exposure to historical employer benefit plan liabilities. In the third quarter of 2022, we achieved a positive adjusted EBITDA of $1.6 million compared to an adjusted EBITDA loss of $3.5 million in the same period last year. And most significantly, through the first nine months of 2022, we generated $7.2 million of adjusted EBITDA, a $15.6 million improvement from the comparable 2021 period. As was indicated in our earnings press release, we are now reporting adjusted net income and earnings per share figures to provide further clarity on the effect of the warrant liability to be discussed in a moment, stock-based compensation and other noncash items. This will provide greater insight to the company's true profitability. For the third quarter, our adjusted net loss was $5.4 million or $0.21 per share, an improvement compared to an adjusted net loss of $15 million or $0.63 per share in the third quarter last year. Interest expense in the third quarter of 2022 was $6.1 million compared to $3.6 million in the third quarter of 2021. This was primarily driven by an increase in the amortization of deferred financing fees between periods as a result of refinancings that took place in the second half of 2021. During the quarter, we recognized a noncash charge due to the change in fair market value of the warrant liability of $1.3 million. Again, this is a noncash item that fluctuate each quarter, primarily resulting from the change in our share price during the quarter. Capital expenditures for the third quarter of 2022 were approximately $0.6 million as we finalized the build-out of our fabrication shop during the quarter. As we have mentioned in previous earnings calls, due to the timing of funding our various projects at Castaños, we expect the bulk of capital spend to occur in the fourth quarter of this year. For the full year, we still expect CapEx to range between $7 million and $8 million. As highlighted last quarter, our cash spend, specifically at the operating level continues to improve. Cash used in operating activities has decreased to $13.6 million through the third quarter of 2022 from $57 million through the third quarter of 2021. Sequentially, cash used in operating activities increased from the prior quarter by $11.2 million, primarily driven by increased inventory levels associated with both the startup of our third production line and higher production volume in the fourth quarter. Turning to our outlook for the full year. As Jim already mentioned, we are reaffirming our previously stated revenue and delivery guidance to between $340 million and $360 million and 3,000 and 3,200 railcars, respectively. With that financial overview, I'd like to now turn the call back over to Jim for a few closing remarks.
Jim Meyer: Thanks, Mike. Let me conclude by providing an overview of our goals and priorities as we enter the final quarter of 2022 and look ahead to 2023. First, adjusted EBITDA remains the focus for 2022, and we expect it to strengthen in the fourth quarter and allow us to close out the year on a high note. Second, as I have already highlighted, we remain on track with the expansion of our manufacturing campus in Castanos and have already completed several important projects. A third production line is currently in start-up, and we expect to have a fourth production line at the ready starting in the first half of 2023. These will effectively double our production capacity as well as allow line changeovers to be conducted more efficiently. We also continue to explore options as it relates to refinancing our debt and improving our overall financial structure. Our continued success and growth will certainly provide us more flexibility and levers to allow this to happen on significantly more favorable terms. Before turning the call over to the operator, I would like to reemphasize our optimism for the future even in the face of all the uncertainties surrounding the macroeconomic environment. As mentioned on our shareholder call in February of this year, moving to Mexico has restructured our cost profile, putting us in a better position to succeed in various market environments. The transition translated to approximately $20 million in annual fixed cost savings last year. And even after our planned build-out of the Castanos facility, we expect annualized savings to remain above $17 million. Looking ahead, we will continue to be prudent and realistic about the potential impacts of a softening market and continued supply chain headwinds. However, as our plans continue to come to fruition, we expect to be able to capitalize on the next railcar market upswing more so than ever before in the company's history. We all look forward to completing the buildout of the new canvas and what the future will bring to us. That concludes our prepared remarks, and I'll now turn the call over to the operator so that we can address your questions.
Operator: [Operator Instructions]. Our first question is coming from the line of Justin Long with Stephens. Please proceed with your question.
Justin Long: Thanks, and good morning.
Matt Tonn: Good morning, Justin.
Justin Long: So maybe to start, I wanted to ask about the quarter-to-date inquiry and order activity. And if I look at the guidance and what it implies for the fourth quarter, it's a decent step up in production. So just wanted to get a sense based on what you're hearing from your customers in the market around demand if you feel like the backlog can grow as we move into the fourth quarter.
Matt Tonn: Good morning Justin, Matt here. Yes, I think as I reported, inquiry activity and bid activity has been up, and we've got a high level of confidence in our capabilities to build that backlog as we enter into next year.
Justin Long: Okay. So you would expect the backlog to grow in the fourth quarter sequentially...
Jim Meyer: Just another piece of information to keep in mind is when you look over a slightly longer time frames because order intake, as Matt often says, can be a little bit lumpy. When you compare the first nine months of this year to the first nine months of last year, the backlog is up 33%, and the order intake is up 37%. So the team is feeling good about the quality and quantity of the sales funnel and discussions for sure.
Justin Long: Okay. That's helpful. And I know you're not going to provide 2023 guidance today. And Jim, to your point, there are a lot of crosscurrents in the market right now. But when you think about that inquiry activity in the pipeline, do you feel like there's line of sight for your production to be up directionally in 2023?
Jim Meyer: Well, we're not going to talk about 2023 when we finished the fourth quarter of 2022. So we're going to save teasers and specific guidance, I think, for one more call there. But at the heart of your question, are we prudent in our timing of growing our capacity. Every one of us feels the answer is a definite yes. Keep in mind, it takes time to put up physical buildings and equip them. And so getting the physicals in place is a process that takes time. And so based on everything we did know and everything we currently know, we think the timing was very appropriate. And then as -- once we get that done, as we staff them with people and then begin to produce. All that will be matched to what's in the build schedule at the time. The other dynamic, which is a really good one for us is every quarter that goes by, we continue to be impressed by the efficiency and amount of product we've been getting out of the facility that we do have to date. So that's been a real positive. So as we see it right now and said in our comments, we've got two lines running full. We're doing a slow careful ramp of a third line as we speak. All that matches how we see our production playing out and whether we keep going and add a fourth line of people or use it to affect changeovers, which will also bring further efficiencies to the business. That will depend on how the backlog continues to play out along with just how much more efficient we get and how much more product we continue to produce on the lines we have.
Justin Long: Okay. And maybe last question for me, just in terms of the cost structure, I wanted to see if you could give a little bit more color on how much of a pickup you're anticipating in gross margins moving into the fourth quarter. And then there were a lot of adjustments in the release last night. So going back to that comment on SG&A, can you just give us a sense for what you're viewing as the clean adjusted G&A number that we should be using as that base going forward?
Mike Riordan: Sure. I'll go backwards on that one, Justin. So for the SG&A, as mentioned, excluding stock comp, we believe that is a relatively consistent number we'll be able to maintain going forward on SG&A. And then to the gross margin comment, we won't give specifics on percentages, but we expect to see sequential improvement in Q4 and beyond. As we stated previously, we like where we're headed in 2023. And our effort is to get back to the same type of margin profile we had in the first two quarters, and we see that as the runway.
Justin Long: Okay, got it. Thanks. I appreciate the time.
Mike Riordan: Thanks, Justin.
Operator: Thank you. Our next question is coming from the line of Matt Elkott with Cowen and Company. Please proceed with your question.
Matt Elkott: Good morning, guys. Thank you. Just to follow up on the 4Q question. Mike, good to hear that the lower margin orders should be completed before year-end. Now in 4Q, are we going to have a higher or lower mix of those lower-margin cars than we did in 3Q?
Mike Riordan: The lower margin cars will be a lower percentage in the next in Q4.
Matt Elkott: Okay. That's good to know. And then in 2023, they should -- we shouldn't have -- basically substantially none of those cars should be in 2023 deliveries?
Jim Meyer: Matt, this is Jim. I think the simple answer to your question is no, those specific cars will certainly have long process through the factory and have been delivered. And again, at the next call, our Q4 call, we'll talk a fair bit about 2023.
Matt Elkott: Got it. That's helpful, Jim. And Jim and Mike also, any help with what percentage of the backlog is -- the current backlog is for 4Q versus what percentage is for 2023 and beyond?
Mike Riordan: Well, I think based on our delivery guidance and the deliveries to date, you could work back that math on how much of the backlog will play out in Q4.
Matt Elkott: Well, I wasn't sure if you guys were factoring in what kind of level of orders for same quarter delivery you're factoring in? Or is that because lead times that's irrelevant lead times, I guess, are too long for orders taken within the quarter to count into deliveries?
Jim Meyer: Yes. If I understood your question correctly, we really stopped taking orders for the fourth quarter some time ago, all because of scheduling and material ordering and lead times if I understood your question correctly.
Matt Elkott: Yes. No, I think that answers it. So okay, so back -- if we back into the delivery guidance and get to a 4Q number, of the remaining backlog, can you tell us what percentage of that is for '23?
Jim Meyer: Of the remaining backlog, what is... Well... So I'll answer it this way. The large majority of it.
Matt Elkott: Okay. Got it. That's good to know. And then, Jim, you mentioned freight costs. Is this a matter of them not moderating as much as you guys had anticipated? Or did they actually go up when you were expecting them to moderate? And you did mention you're looking into ways to alleviate this. Can you talk a little bit more about what steps you're looking at taking?
Jim Meyer: Yes. I think I'm going to just answer it a little bit general, Matt. We've -- as we've been reporting for several years now, we think we have some very strong capability on cost reduction, primarily, it's been on material cost reduction. We now have a lot of those same resources focused on our freight -- and really -- so I don't want to get too specific into it, although the freight has become an increasing component of our cost structure. And we're now throwing some pretty heavy resource at it because we fully believe there's opportunity. But I don't want to get into too many details on that. One, it's still a little bit early for us. And secondly, there are some things we probably rather not share with our competitors.
Matt Elkott: Got it. Okay. And then maybe a broader market question for you, Jim, and for Matt. Matt, I think you mentioned the order activity still supportive of replacement demand of 40,000 cars for the industry which is basically in line, I think, with most people's expectations for this year. But were you talking about even beyond this year? Because I think we're all expecting deliveries to be up for the industry in 2023 by at least 10,000 cars or so. Are you a bit more cautious on that industry number than recently because of interest rates going up and inflation and economic uncertainty?
Matt Tonn: Yes. I think, Matt, to your point, we expect to see improved deliveries next year as well. But I think if you look at the 5-year trillion average and then based on our discussions with customers on a go-forward basis, I think we are moving into maybe a little bit of something different overall average replacement demand than maybe what we've seen in past years. So I think somewhere -- the reality is that we look at order activity in that 40,000 range, to your point, expectations of orders next year are a little bit improved, particularly -- sorry, related to deliveries are improved. But long term, I think we're really in that 40,000 to 45,000 demand cycle for the foreseeable future.
Matt Elkott: Got it. And I think, Matt, from talking to industry people, it seems like there's tightness and sometimes even shortages and a broad base of freight railcars. Is that still the case? I mean, certainly, the industry utilization number would suggest so, but are you seeing still tightness and maybe shortages in certain types of railcars right now?
Matt Tonn: Yes, we are. And I would say that if you canvas the major leasing companies, you'll see that their utilization is in the upper 90s. It's been widely reported by some of the largest ones. And there's absolutely tightness in the marketplace on several card types where the demand is certainly outweighing the availability.
Matt Elkott: Okay. Got it. And then just maybe going back to Mike with a balance sheet question. I think, the fourth consecutive increase in quarter-end inventory. Can you talk about this a bit and how we should think about inventory going forward, Mike?
Mike Riordan: Sure. As you've seen throughout the year, we've increased production, increased deliveries. Now we've added a third line. And as you can see from the full year guidance, Q4 is going to be a very heavy quarter. So inventory has grown commensurate with it. But now that we have the third production line out, we would expect some normalization of inventory levels going forward until we start up our fourth production line.
Matt Elkott: Okay. And then just a broader balance sheet question. I mean we did see a bit of a decline in cash understandable for some of the reasons you mentioned. How do you feel in general about your balance sheet going into 2023? Do you feel like you may need more capital in the next year or so? Or just any broad questions about how you feel about your financial position would be helpful.
Mike Riordan: Sure. I think we feel very good about our financial position. We're positioned for the business in front of us, three production lines. Cash obviously, as I mentioned, was used this quarter primarily to fund that expansion into the third production line and inventory is at a high level at the end of the third quarter. But in addition to that, some of that inventory is still from earlier in the year when it was placed at higher prices. So you do start to see a relief on steel input costs as you look out into the future with still coming down as you replace lower-priced steel with higher-priced steel in your inventory.
Matt Elkott: Okay. Got it. And let me just sneak in just one more question. As we look beyond Q4, it's not unusual for a manufacturer to have deliveries weighted for the first half or the second half of vice versa. Do you feel like the -- how do you think of the cadence of deliveries in 2023 based on your orders and your backlog right now?
Jim Meyer: Matt, this is Jim. I'll start again with -- we'll talk about 2023 next quarter. The accelerated growth of deliveries this year. I mean it's been completely what you would expect with a growing business, a growing footprint. Keep in mind the footprint has now been operational for all of just 24 months. And this has been pretty much, I think, what one would expect with bringing online a new factory. And after the -- we started out with one line, we added a second, we're now bringing online a third line. So it's -- all this will get normalized as we come up to our natural run rates in the business.
Matt Elkott: Great. Thank you so much, Jim. Thanks, Mike. Thanks, Matt.
Jim Meyer: Thank you.
Mike Riordan: Thanks Matt.
Operator: We have reached the end of our question-and-answer session. I would like to turn the floor back over to management for any additional concluding remarks.
Jim Meyer: Well, thank you all for joining today's call. We look forward to closing out a strong year for the company and preparing for more growth in 2023 and beyond. Thank you, and have a good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation. You may disconnect at this time.